Unidentified Company Representative: Thank you for waiting. We will now begin the online conference call on financial highlights for the first half of the fiscal year ending March 31st, 2025 of Mitsubishi UFJ Financial Group. I am Nakao from Investor Relations Office, Financial Planning Division and will serve as the moderator today. Jun Togawa, Senior Managing Corporate Executive and Group CFO, will give a 15 to 20 minute presentation on the financial highlights for the first half of FY'24 followed by a Q&A session. The entire session is scheduled to be about 50 minutes. Before we begin, let me read the disclaimer. In this presentation, we may state forward-looking statements based on current expectations, all of which are subject to risks and uncertainties. Please be aware that actual results may differ materially from those forecasts. We will now begin the financial results briefing. Mr. Togawa, please begin.
Jun Togawa: Good evening. I am Togawa, Group CFO of MUFG. May I thank all the investors, shareholders, and rating agencies for joining MUFG's online conference call today despite the late hour and on a day when many companies are announcing their results. Please look at the material titled Financial Highlights Under JGAAP for the First Half of the Fiscal Year Ending March 31st, 2025. First, let me explain our Q2 financial results followed by revised FY'24 performance targets, shareholder return measures and progress on the medium term business plan or MTBP. Please turn to page one. These are the highlights of our first half financial results. For the first half of FY'24, net operating profits was JPY1,305.3 billion, up by JPY219.5 billion year-on-year, marking the third consecutive year of record high first half profits. Net income reached JPY1,258.1 billion, also the highest profit since MUFG was established, and the first time profit exceeded JPY1 trillion in the first half. Excluding the impact of the change in the financial results closing date of Morgan Stanley and Krungsri profits increased by JPY391.5 billion. Furthermore, progress towards the JPY1.5 trillion target set at the beginning of the year is 83%. As explained on the bottom right chart, there are two main drivers of the profit increase. First, the strong performance of customer segments, resulting in a significant increase in profits, even excluding the impact of the change in the closing period of Bank of Ayudhya or Krungsri. Second driver is the recognition of large gains on sale of equity holdings following the trend to accelerate cross shareholding reduction. We believe these factors led to the record high profits. Now, let me start by explaining the profit and loss summary on Page 9. For the first half of FY'24, we included nine months' worth of profits for Krungsri in Thailand instead of six months due to the change in the equity method accounting date. The impact of this change for Krungsri is summarized on Page 14, so please take a look at it later. In addition, the FX impact is stronger Yen against the Dollar and weaker Yen against the Thai Baht, vis-a-vis FY'23. So the weak yen has a major impact on gross profits and expenses where Krungsri accounts for a large portion and strong yen has impact on net profit where Morgan Stanley accounts for a large part. The amount of impact is shown in the chart on Page 1. Now on Page 9, Line 1 of the table on the left, gross profits increased significantly by $424.4 billion year-on-year. Line 2 and below shows the breakdown of gross profits. Both net interest income and fee income grew steadily, thanks to capturing the impact of yen interest rate hike, increase in net interest income due to the improved margins and favorable performance in the fee business both domestically and globally such as solutions, wealth management and AM/IS business, as well as impact of change in the accounting period of Krungsri and the impact of acquisitions mainly in Asia. Next, Line 6, G&A expenses increased by $204.8 billion year-on-year due to the Krungsri impact and the effect of overseas acquisitions, as well as the allocation of resources for growth and increase of overseas compensation costs due to inflation. However, expense ratio improved by 1.1 percentage points year-on-year to 55.1%. Thanks to successful expense controls coupled with gross profit increase. As a result, Line 8, NOP was JPY1,305.3 billion up by JPY219.5 billion, setting a new first half record for the third consecutive period and demonstrating our strong earning power. Next, Line 9, total credit costs, dropped by approximately JPY48 billion year-on-year in real terms, excluding the JPY43.5 billion increase in expenses due to Krungsri impact due to the reversals of loan loss provisions mainly at overseas branches. Line 10, net gains and losses on equity securities increased significantly due to the progress in the sale of equity holdings. In particular, gain on sales for the first half increased significantly due to the large sales in Q2. As a result, Line 16, profits attributable to owners of parent was $1,258.1 billion. As we achieved a high progress rate of 83% against the initial earnings target, we revised our target for profits attributable to owners of parent upwards. I will explain this later. Please turn to page 10. Performance by business group is shown on pages 10 through 13. I will not go into detail, but in customer segments, all business groups steadily increased their net operating profits, thanks to increases in net interest income from loans and deposits and fee income. Retail and digital business group's ROE has risen to 7% from 4% last year, partly due to the rise in yen interest rates. On the other hand, global markets business group's profits in the treasury business decreased due to the limited decline in US interest rates, but is trending in line with the outlook for the fiscal year. Please turn to page 15 on balance sheet summary. Loans on the upper left increased by approximately $3.4 trillion from the end of FY'23. Of this, overseas loans were significantly affected by FX, but the balance decreased thanks to credit management focusing on profitability and asset quality. In addition, government loans increased by $5.4 trillion, but domestic bonds shown below decreased by $5.6 trillion. Please understand that there were transfers between these two for ALM purpose. On the liability side, domestic deposits increased on net, while overseas deposits fell by JPY2 trillion due to profit oriented management. Page 16 shows the status of domestic loans. The graph on the bottom right shows the trend in domestic corporate lending spreads, both the red line for large corporates and the orange line for SMEs have been gradually increasing. Thanks to the success of profitability improvement measures and our efforts in large M&A and LBO transactions. Next, page 17 shows the status of overseas loans. The bottom right graph shows the trend in overseas lending spreads. While the balance is decreasing, lending spreads continue to expand as profitability improvement efforts have been successful. Please turn to page 18 on asset quality. Nonperforming loan balance, shown in the bar graph on the left was high in Europe and the US at the end of March, but decreased, and also decreased in Japan. As a result, NPL ratio, the line graph also declined. The bottom right graph shows the breakdown of year-over-year changes in total credit costs. On the bank, non-consolidated basis, expenses decreased mainly due to the reversal of loan loss provisions at overseas branches. On the other hand, expenses increased at overseas subsidiaries due to the impact of business expansion of subsidiaries acquired in the Asian partner bank domain and the economic slowdown in Asia. However, these are within our expectations and our full year forecast remains unchanged from the JPY400 billion we set at the beginning of the year. Please turn to Page 19 on securities such as equities and government bonds. I will explain the unrealized gains and losses in the upper left table. Line 3, unrealized gains on domestic equity securities decreased from the end of March 24 due to the decline in stock prices from the end of March as well as the impact of large gains on sales. On the other hand, Line 8, unrealized losses on foreign bonds improved, thanks to the decline in overseas interest rates. Also, lower left, unrealized losses on foreign bonds, in real terms, reflecting unrealized gains from hedging positions, etcetera, were approximately JPY0.5 trillion, which is flat compared to the end of March. Right side shows the reduction of equity holdings. The reduction in the first half was JPY170 billion on an acquisition cost basis, a significant reduction compared with past results. The agreed amount to be sold also reached JPY436 billion, which is over 60% of the revised target. Please turn to Page 21 on capital adequacy. The CET1 ratio excluding net unrealized gains on AFS securities calculated on the regulatory finalization basis was 11.2%, a high level due to the high progress rate in the first half profits with the preceding accumulation of profits and the impact of the change in the closing date of overseas subsidiaries translated at the FX rate. Towards the end of the fiscal year, we expect to be within our target range as shareholder returns will exceed profit in the second half of the year with RWA spend to be biased towards the second half of the year and with FX rate assumptions considered. Next, I will explain our financial targets and shareholder returns for FY'24. Please turn back to Page 3. In addition to changes in the economic environment since the plan was formulated, such as the rise in yen interest rates and the fact that the progress rate against the initial four financial target reached 83%. We have raised a target for net income by JPY250 billion to JPY1,750 billion. As shown bottom left, this is due to the growth in NOP resulting from strong growth in the customer segment, maintaining the trend seen in the first half of the year and the progress in the sales of equity holdings resulting in increased gains. Furthermore, the gains on sales of equity holdings that exceeded the forecast is expected to be used in part to restructure the bond portfolio in order to improve future profitability and there will be differences between net income and NOP. NOP target remains unchanged. On the other hand, the ordinary profit was revised upwards by JPY350 billion and the forecast for net income revised upwards by JPY250 billion compared to the initial target to come to JPY1,750 billion. We will achieve a financial target set out in the MTBP, which is an ROE of around 9% ahead of schedule this fiscal year and aim to exceed 9%. The level of 9% is also within sight in terms of ROE target of TSE. Given that we are already approaching the mid to long-term target of 9% to 10% ROE, we will start initial discussions of revising mid to long-term targets in addition to the financial targets for the final year of the MTBP. Next, shareholder returns on the right. In line with the increase in profit targets, we have raised our annual dividend forecast to JPY60, an increase of JPY10 against the initial forecast, and JPY19 compared to FY'23. And we have also resolved to conduct additional share repurchase of up to $300 billion. This will amount to JPY400 billion for FY'24. In addition, the ratio of treasury stock to the total number of shares issued will be around 5.2%, so 270 million shares will be canceled. We will continue to aim for a dividend payout ratio of around 40%. And based on profit growth, we will aim for sustainable increase in dividends per share taking into account the optimal balance between capital softness and investment into growth. Please turn to Page 4, a response based on environmental changes since the beginning of FY'24. On the left shows estimated impact of an interest rate hike. We assume the financial impact of interest rate hike in July will be approximately JPY35 billion in the first year. Of this we assume that the impact of FY'24 business performance will be approximately JPY25 or eight months' worth. Next regarding the equity holdings reduction target on the right based on the results so far and progress in negotiations, we will double the reduction target to JPY700 billion aiming to half the balance of the book value of shares hold over the three years of the current MTBP. At the same time we will continue to vigorously reduce our holdings with the aim of achieving ratio of less than 20% of consolidated net assets during the current MTBP period ahead of plan. Please turn to Page 5 for the progress on our financial targets. By focusing on managing the three drivers namely profits, expenses and RWA for improving ROE, we are on track to achieve the ROE target of around 9% in the current MTBP ahead of schedule. First, the profession on the lower left is as we have just seen. As for the expenses shown in the lower middle, as I explained earlier, the expense ratio is below the MTBP target of around 60%, showing improvement year-on-year. As for the RWA shown lower right, we are continuing to operate our business mindful of risk and return. From Page 6 onwards, the progress of the three pillars of the current MTBP is shown. On Page 6 is the growth strategies. The seven strategies for capturing growth have performed steadily. On the left, we are off to a good start with 40% of the MTBP targets already achieved in the first six months of the fiscal year. We will continue to leverage the comprehensive strength of the group and promote high value added sales activities. Please turn to Page 7. On the left is a second pillar aiming to solving social issues. As a responsible financial institution, we are responding solidly to the demand for sustainable finance both in Japan and overseas in relation to climate change and the realization of carbon neutral society. On the right is a third pillar, accelerating corporate transformation. In order to awaken the full potential of MUFG, we are promoting a group based transformation of our corporate culture, which will form the foundation for growth and strengthen your management base, including human resources, systems, and AI. And we have implemented agile operations on a trial basis. In addition, we are stepping up our efforts to realize corporate reform using AI, including expanding the utilization of generative AI. Please turn to page 8. I would like to report on the status of our response to the administrative actions taken in June of this year. I would like to take this opportunity once again to apologize for the troubling concern that this matter has caused to our customers and other related parties. Since the incident, we have been working to implement various improvement measures to prevent recurrence. From the second half of the year onwards, we will continue to work to restore the trust of our customers and stakeholders by steadily implementing initiatives to ensure correct understanding and awareness through training and study sessions. We have also reported the details of measures to the Financial Services Agency on October 15th. That concludes my explanation. Thank you very much for your attention.
Operator: Thank you, Togawa-san. We will now take questions from you. [Operator Instructions] Thank you. First, Takamiya -san, please.
Ken Takamiya: I am Takamiya of Nomura Securities. I have one question. Please share with us your assessment on the current financial performance trends and your capital base. More specifically, I want to know the message from the company, contained in the figures of the following six announcements, in other words, your assessment of financial performance and capital.
Jun Togawa: The six announcements are the upward revision of the financial forecast this year, the increase in the target for sales of equity holdings, the review of MTBP targets, increment of the dividend increase, the announcement of a relatively large amount JPY300 billion of share buyback and the CET1 ratio of 11.2% as of the end of September.
Ken Takamiya: I would like to know your assessment of capital based on these six points. The purpose of my question is to get a qualitative reference for your medium term financial outlook and capital measures.
Jun Togawa: Thank you for the question. First, regarding our financial performance, we announced our MTBP in May. At that time, we took a conservative view on rising yen interest rates and FX, and started with a plan to increase net operating profits by JPY500 billion based on how much we could earn through our own measures. After that, we announced a plan to incorporate the impact of rising yen interest rates as a megabank with the largest balance sheet and to set a target for the sale of equity holdings of JPY350 billion as the minimum amount to be achieved through bottom up approach. After that, we raised this target in response to the recent trend of accelerating the sale of equity holdings. We took the positive external environment into account in this upward revision. But the profit increase from the implementation of the measures that we originally planned in MTBP also increased our net operating profits by about JPY100 billion even excluding the impact of rising yen interest rates. So we feel a sense of accomplishment. Gain on sale of equity holdings will peak during the current MTBP period, and then gradually decrease, while yen interest rates will rise. We want to increase our earning power through the efforts of our measures over three years, while dealing with both positive and negative factors. Therefore, we think it is important to deliver intrinsic profit growth, while facing both positive and negative factors, and feel that we are making progress in this regard. Regarding the capital adequacy ratio and capital level, we will operate within the target range of 9.5% to 10.5% from the current MTBP. But as other participants may ask later, the level in the first half exceeded the target range as profits are heavily weighted towards the first half of the year. And of course, the use of risk weighted assets to pursue measures under MTBP tends to be concentrated in the latter half of the fiscal year and due to temporary FX impact. That said, I think we can stay within the target range towards the year end by implementing this shareholder return policy. There is no change to our overall policy of operating between 9.5% 10.5%. We want to decide on shareholder returns by looking at the trends in the capital level for a single fiscal year or over the medium term within the MTBP rather than set one ratio at each time point. So our basic stance remains unchanged.
Ken Takamiya: Understood. Thank you very much.
Operator: Moving on to the next question, Mr. Nakamura, please.
Shinichiro Nakamura: Thank you very much. This is Nakamura from BofA Securities. My first question is on the CET1 ratio on page 21. I understand the factors that led to the increase in the first half of the year. But can you give me more details on what kind of increases or decreases in the second half of the year would bring it down to 10.5%. I think the JPY300 billion in share buybacks is fantastic, but some say that with such a large profit, you could have done a little more. The total payout ratio comes to 63%, so we may be asking too much. But since profits have risen so much, some people say more could have been done. The second question concerns the NOP in the first and second halves. I would appreciate it if you could tell me, even roughly, what you see as a slowdown in NOP in the second half of the year when you have such excellent results in the first half of the year. Why only about JPY650 billion target in the second half of the year? That is what I'd like to know.
Jun Togawa: Thank you very much for your question. I'd like to explain the CET1 ratio first. In the first half of the fiscal year, from the end of March to the end of September, accumulation of profits proceeded. And as for shareholder returns, we only purchased JPY100 billion of our own shares that resulted in accumulation of profits for which we have received a lot of harsh criticism from our shareholders. The impact of the change of US subsidiaries translated at the FX rate saw an instantaneous upward swing as the yen depreciated to JPY161 against the dollar at the end of June. Had a large impact on the rise in CET1 ratio at the end of September. This had an effect of more than 30 basis points. And we have not changed our assumptions for the dollar yen at the end of the fiscal year, which we put at around 140 yen from the beginning of the year. Since move to a stronger yen will have an impact of about 40 odd basis points, as we are considering higher RWA in the second half of the year combined with shareholder returns including share buybacks and dividends. I would say that, we are within our target range. And depending on the trend of the exchange rate towards the end of the fiscal year, we may consider additional shareholder returns. As I mentioned earlier, the global markets accumulated capital gain in the first half of the year. We had originally planned to improve the book value of the business group's earnings in the second half of the year. The difference between the first half and the second half is large at around JPY300 billion. And then in the second quarter there was a large gain on the sale of equity holdings, but it will not be as large in the second half. So I think it will shrink by about JPY100 billion. On top of that, part of the portion of the gain on sales that is above the original plan or within the scope of the portion that is above the same period last year will be put to elimination of unrealized losses on foreign bonds. So if we also include such financial measures, the difference in NOP will be JPY660billion from the first half to the second half.
Shinichiro Nakamura: Thank you. But I am still not clear on the NOP level. So I guess you are leaving the specifics for later. I understood up to the global markets having a difference of JPY300 billion but couldn't follow after that. I couldn't imagine how it will go down to JPY650 billion. But you are saying there are miscellaneous factors to be considered, and also the KS impact, and I guess the rest is explained in the presentation material.
Jun Togawa: Yes. That is right. By the way, I forgot to mention the KS impact will be around 80 billion to the NOP as well.
Shinichiro Nakamura: Thank you very much.
Operator: So next Matsuno-san, please.
Maoki Matsuno: I am Matsuno from Mizuho Securities. Thank you very much. I have two questions. First question is on capital on Page 21. My impression is that foreign currency translation reserve increased more than expected this time. Is this due to the change in the equity method accounting date as you explained earlier? In addition, could you please, to the extent that you can, touch on the status of your future investment pipeline as you are currently exceeding your capital target? My second question is about the equity holdings on Page 19. The target has been raised to JPY700 billion this time. But what is your view on the pace of sales on a fiscal year basis? Do you anticipate any impacts from the drop in unrealized gains, including raising capital targets in the future? Thank you.
Jun Togawa: So your question is on factors that led to foreign currency translation reserve increase as of the end of September?
Maoki Matsuno: Yes.
Jun Togawa: FX was JPY151 or JPY152 at the end of March, JPY161 at the end of June, and JPY142 at the end of September. The change in the accounting date at Krungsri and Morgan Stanley is complete, so it's almost linear now. The other big factor is the FX impact of the US subsidiary, MUAH, which I mentioned earlier. Moreover, the FX fluctuated dramatically between the end of March, June and September and caused the foreign currency translation reserve to inflate unexpectedly. Regarding the pace of the sales of equity holdings the agreed amount to be sold is JPY266 billion yen shown in light pink on Page 19. In terms of the actual reduction in the book value balance, I think FY'24 will be the largest among the three years. The rest will be roughly 50-50. But it depends on how we can reach an agreement with our customers. This time it is not a minimum target and we have not reached this figure through the accumulation so far. This is a declaration of our determination to do this much, so I cannot say specifically how far or at what pace. Some have pointed out since July as to what we think about the decline in unrealized gains.
Maoki Matsuno: What level should CET1 ratio be? And how far can ROE rise based on that? Please give us a little more time on this.
Jun Togawa: I would like to consider this as part of the review of the financial targets for the final year of the MTBP and our medium to long-term targets. However, one thing I can say is that if you look at the capital on financial accounting basis, the unrealized gains and losses on securities have become significantly smaller. We think the gap with the ROE target based on the TSE standards have narrowed considerably. So we are considering setting a target under TSE definition as well. The share price volatility, which was a risk factor for CET1 ratio in our stress tests, is shrinking, so we will consider a target range with multiple positives and negatives.
Maoki Matsuno: Thank you very much.
Operator: Next, Mr. Yano, please.
Takahiro Yano: Thank you very much for taking my question. This is Yano from JPMorgan. My first question is on overseas reversals of loan loss provision. Could you put some more colors to it as much as possible? For example, what business sectors are involved, what were the triggers, etcetera? And my next question is on domestic lending. I have a feeling that funding demand is strong. Are you seeing demands related to, for example, manufacturing companies' production bases returning to Japan that comes with enormous price tags? If a substantive, buyout deal comes your way, how much is acceptable on your end? With many such deals, how much risk asset can be put? Or how capable are you of responding to changing landscape? That is what I would like to have your comments on.
Jun Togawa: Thank you very much for your questions. As for the overseas non-performing loans, it became quite big in the Americas in March because maybe we have explained this before, but as we conducted O&D expansion, there were multiple big accounts that saw downgrading, impacting credit costs. And as a result, the balance of NPL increased. This had decreased since and resulting in lower NPL. And as for domestic lending demand, this is where I wanted to focus more on. But in fact, domestic lending is almost flat if we exclude government loans. The balance at the end of the period will not be increasing that much due to spot repayment of working capital. But compared to the end of March, it had grown by about three percentage points on average, which supports the fact that there is demand for funds. There are large LBOs and MBOs that you mentioned where we want to grow and improve the yield. As for the acceptable amount on our part, of course, there is a credit regulation on large funds that we need to consider, and we are managing within around 80%, and that would give us a maximum theoretical value. At the end of March, we had some issues related to O&D deals, so we had to make some changes, but I cannot give you any specific numbers as to the maximum amount per deal. I hope that answers your question.
Takahiro Yano: Thank you very much. As CET1 ratio is heightened, I don't think there is room for any concerns. But if such offer comes your way, you will basically be responding positively. Is that the correct interpretation?
Jun Togawa: Yes. In the current MTBP, the plan is net increase of JPY7 trillion for RWA. So we will do our utmost to accumulate highly profitable projects.
Takahiro Yano: Understood very well. Thank you very much.
Operator: Thank you. Next, Matsuda-san, please. If you have questions, we are still accepting more questions. Thank you. Matsuda-san?
Ken Matsuda: I am Matsuda from Daiwa Securities. I have two questions. First is about gain on sales of equity holdings and second is about your thinking behind this year's earnings. Regarding the first question, gain on sales, on Page 3 on FY'24 plans, looking at net operating profits and ordinary profits vis-a-vis initial targets, there seems to be positive $350 billion below net operating profits. Is this mostly gain on sales of equity holdings? In addition, if we look at the bar chart for this year, we can see that gain on sales of equity holdings are greater than the impact of the portfolio restructuring. But if larger gains on sale of equity holdings are included in the plan for this year, how should we think of the baseline for a gain on sales of equity holdings from next year onwards? My second question is on this year's profits. I think the macroeconomic environment is favorable due to the weak yen, and the FX assumption for the second half is JPY140. If profits are likely to be higher, thanks to the macro environment, are there any items that you can cut losses on? For example, I apologize for talking about other banks, but some banks have a recorded a lump sum provision for loss on interest repayment. Your group also has a subsidiary, ACOM. And I would like to know if you are considering similar costs for interest repayment or items where you can cut losses?
Jun Togawa: Thank you for the question. Our ordinary profit target is JPY350 billion, most of which is accumulated through higher target for gain on sales of equity holdings. As I mentioned earlier, we are considering using part of the gain on sales of equity holdings to rebalance our bond portfolio. And for now, we want to use JPY100 billion to JPY200 billion to reduce unrealized losses. On the other hand, cutting unrealized losses on bonds negatively affect net operating profits, so we kept the guidance unchanged. Ordinary profit is set at 350 billion including that and additional portfolio restructuring. There are not many other items for cutting losses. And we want to first optimize our portfolio. As for interest repayment, ACOM is a listed company, so we cannot say much. But we understand that ACOM sets three years' worth of provision for loss on interest repayment at the time of the medium term plan review. So I think they will proceed with that policy. I am not familiar with SMFG's thinking behind the JPY100 billion provision for repayment, but ours will probably be smaller. If the gain on sales of equity holdings accumulates more than expected, we will do what we can to secure future profits. But there is not much we can do now other than improving the unrealized losses on bonds.
Ken Matsuda: I understand. Regarding your first point, if we assume that the bond portfolio has unrealized losses of maximum JPY200 billion against a profit of JPY350 billion, the base gain on sales of equity holdings is up by around 150 billion this time. Will this be the baseline from next fiscal year onwards?
Jun Togawa: As I mentioned earlier, FY'24 will be the highest. And for FY'25 and '26, we have set the aspirational amount at JPY700 billion. As we will review the FY'25 plans and the financial targets for the final year of the MTBP toward FY'26 once again, these targets will be examined within this framework, so I cannot comment on the baseline at this point.
Ken Matsuda: I understand well. Thank you very much.
Operator: Any other questions? We are still waiting for additional questions. Yes, we have a question. Mr. Niwa, please.
Koichi Niwa: This is Niwa from Citigroup Securities. Can you hear me?
Jun Togawa: Yes, we can hear you.
Koichi Niwa: So my question is not related to the financial results, but, this is regarding the equity holdings reduction on page 4. I understand that you are going to be mindful of the balance in the final year of the MTBP. But looking ahead, what will happen in the next MTBP? If this pace is continued, we will be seeing the balance go down to zero. So as you work on revising the plan going forward, what is the future vision based your discussions on? That is what I'd like to know. Thank you.
Jun Togawa: Actually, the same question was raised by an outside director today in the BOD meeting. On book value or acquired value basis, this JPY700 billion target will mean a reduction of almost half. It was JPY1.3 billion in March, and the balance will be around JPY0.6 trillion or JPY0.7, which suggests that the balance will be very small during the next MTBP period. But having said that as Kamezawa always say this will be conducted upon a dialogue with our customers. But I myself believe that as for the existing equity holdings, it will approach zero, but we cannot make any definitive statements as to when. On the other hand, business investments or equity investments into new business developments will continue, so such balance will appear on the book going forward. In the meanwhile, we will aim for a JPY700 billion reduction and equity holdings to be reduced to less than 20% of net assets during the current MTBP period. We will continue negotiations so we can come to agreements with our customers. That will be our focus for now.
Koichi Niwa: Thank you so much for being more specific. Thank you.
Operator: Thank you very much. With that we'd like to end the Q&A session. Next, Togawa will give you some closing remarks.
Jun Togawa: Thank you for your active participation in the Q&A session and your valuable opinions today. Today, I spoke mainly about the progress of the first half for FY'24. At the Investor Briefing scheduled on 18th, Kamezawa will explain in details the strategy and corporate transformation initiatives including his own thoughts. We look forward to your participation in that event as well. As I mentioned at the July Investor Day, we believe that by showing steady profit growth and improvements in ROE as actual results, we can foster further expectations, which will lead to an improvement in PER and have a positive impact on the stock price. We will achieve improvements in EPS and ROE and link this to an increase in shareholder values going forward. We'll continue to focus on dialogue with our shareholders and investors and work to improve our financial and capital management with the aim of achieving sustainable growth in shareholder value. We ask for your continued understanding and support. Thank you very much.
Operator: With that, we'd like to end the first half results presentation for the Fiscal Year '24 for MUFG. Thank you very much for your participation despite your busy schedule.